Operator: Good morning, ladies and gentlemen, and welcome to the Commerzbank AG conference call. Please note that this call is being transmitted as well as recorded by audio webcast and will subsequently be made available for replay in the Internet. [Operator Instructions]. Let me now turn the floor over to Stephan Engels.
Stephan Engels: Good morning, ladies and gentlemen. Welcome to our conference call on the results of the fourth quarter and the full year 2018. Since 2018 marks the halfway point of Commerzbank 4.0, let me start by assessing our progress on the three cornerstones of our strategy. First, simple. We have successfully transformed and refined our business model towards a clearly customer-driven commercial bank. In PSBC, we have completely overhauled our approach to consumer finance and set up a dedicated business unit to address more business customers, both are important prerequisites for continued growth. In Corporate Clients, we have successfully integrated our investment banking activities with our Mittelstand business and streamlined our product range. Strong bank focus on corporate customers, particularly the German Mittelstand, has also been the key rationale behind the disposal of our EMC business. And we have virtually finished the cleanup of our legacy portfolios. We're driving in a strong and healthy balance sheet across all relevant metrics. Second, growth. We have substantially grown our customer and asset base to generate additional revenues. We have reached our interim goal of acquiring 1 million net new customers in PSBC Germany, and we are well on track to our goal of 2 million by the end of 2020. This customer growth has contributed significantly to an increase in assets under control of €46 billion. We are also growing our Corporate Clients. The segment has maintained its market-leading position in Mittelstand and has on-boarded 8,900 net new corporate customers. Just looking at loans, we have managed to increase our corporate loan book by more than 9% over the last two years. And as market research shows, our customers are also very satisfied with the service we are providing. This is an important translation for further growth. You can see the fruits of this growth in our revenues. In 2018, we have significantly grown our underlying revenues, and NII has increased in each quarter of 2018, all this, as we all know, in a quite challenging environment. Third, digital and efficient. We have made significant progress in digitalization. In 2017, we established our digital campus and ramped up our digitalization investments. The campus has so far finished 4 master and 3 support journeys and made good progress in the remaining journeys. We have increased our digitalization ratio to 59% at the end of 2018. Admittedly, this is 6 percentage points below our original target, reflecting the fact that not everything always works perfectly. Applying the lesson of the past two years, we are pleased to launch the next stage of our campus approach. Campus 2.0 will not only broaden the scope of our digitalization efforts to the whole organization, but will also increase the speed of the transformation. Integrated teams of IT and business experts to get on campus, using the latest development methodologies, has proven to be more efficient than the traditional practices. This increased efficiency also leads to cost benefits. With these initiatives, we are well on our way to digitalize 80% of relevant processes and meeting our 2020 cost target of €6.5 billion. When talking about achievements in the past two years, I would not want to miss mentioning a topic of increasing importance, compliance. We have established a sound and robust compliance framework and made significant investment in terms of both money and FTE. Of great assistance in this process has been our U.S. monitor, who has been very demanding but also supportive and instrumental in implementing a state-of-the-art compliance function that also follows strict U.S. regulatory requirements. With investments of roughly €600 million and a reduction of both products and customer reach, this framework has come at a cost. We strongly believe that this is a price worth paying and is money well spent. It increases the bank's defenses and has further enhanced our reputation of integrity among all of our stakeholders. To sum up, the first three years of Commerzbank 4.0 has delivered considerable progress and proven that our strategy is right, even in an environment in which we faced a lot of headwinds and no tailwinds to speak of. This is also reflected in the figures for 2018. So let us move to the financial highlights of 2018. Last year, our operating profit reached €1.2 billion, and our net result was €865 million. This is a significant improvement compared to 2017. Growth has substantially contributed to this result and countered the effects from the highly competitive market conditions in Germany. We grew underlying revenues by 5%. Even in a particularly challenging market environment in Q4, they have been stable. This proves the resilience of our customer-focused business model. Furthermore, we benefited from our clean balance sheet with a risk result that was nearly half to €446 million. On expenses, we have managed our costs in line with our guidance, as planned investments have been especially strong in the first half, following an initial ramp up in 2017. In H2, they have been reduced, as guided. Our continued growth in customers, assets and loans is also reflected in capital, which came in at 12.9% at the end of the year. In other words, we were able to deploy more capital to our franchises, which is good news. With the net result of €865 million, we have achieved a net ROTE of 3.4%. Though, obviously, not at levels you can see in other markets, it marks a significant improvement over 2017. In line with our improved results, our clean balance sheet and the good progress in the implementation of our strategy, we will propose a dividend of €0.20 per share at the AGM one year ahead of plan. Let's move to Page 5. The material year-on-year swing of minus €635 million in exceptional items has, to a large extent, been compensated for by growth in net interest income. In Q4, the negative effect is predominantly due to valuation changes on the back of [indiscernible] charges. Let's continue with Slide 7 and the overview of our segments. Revenues from our growth initiatives in PSBC increased strongly. This compensated for the lower level of exceptional items, headwinds from margins and lower customer activity on the back of MiFID II. Corporate Clients has also achieved growth in loan volumes. The corresponding revenues are [indiscernible] fully compensate for the headwinds from the margin environment and the lower demand for capital market products. Taking others in consolidation and ACR together, we have reduced the operating burden of these segments to €119 million, an improvement of more than €250 million. This reflects the cleanup of our ACR portfolios and better others and consolidation result. We maintain our others and consolidation guidance of better than minus €75 million per quarter. Slide 8 provides an overview of our group result. Revenues of €8.6 billion. Cost and the risk result are all in line with our guidance and lead to a full year operating profit of €1.2 billion. With total - while the total revenues were slightly lower in absolute terms, they have substantially improved in terms of quality. In 2018, underlying revenues increased by 5% or €441 million. The main driver was an increase of €458 million in net interest income, thanks to growth in PSBC and reduced capital markets funding costs. This was partially offset by a lower fair value result and lower net commission income. Additionally, we benefited from a low risk result, thanks to the high quality of our loan book. In combination, these effects led to an increase of 8% in our full year operating profit. The full year tax rate of 21% is lower than we originally expected. The main reason being that DTA burden in Q4 came in lower than anticipated. The EMC business is now shown in discontinued operation and did not have a material impact on overall group result in 2018. NII has not only been the key driver of revenues year-over-year, it also shows a positive trend over the four quarters of 2018. This is shown on Page 9. Let me talk you through the slide and provide you with my expectations going forward. Within a largely unchanged margin and rates environment, both our core segments delivered a steady increase in NII throughout 2018. The increase in PSBC stems from growth in loans and deposits. The latter has contributed as we used the growing loan book to increase model deposits. With ongoing growth in PSBC, I expect NII to continue the positive trend. While full year NII in Corporate Clients was lower than in '18, solely due to the extraordinary strong Q1 '17, it showed a steady growth throughout '18. NII from trading and continued deposit pricing initiative have contributed notably. I regard Q3 and Q4 as a reasonable baseline going forward. Based on our growth initiatives and with some margin support for credit spread, I expect further improvement of NII in 2019, but not at the pace of 2018. Let us move over to Slide 10, which provides a view on our cost development. Costs came in at just under €6.9 billion. This is in line with our full year guidance of 70 - €7.1 billion when adding back the EMC cost of €246 million. Investments in digitalization and growth peaked in mid-2018 and have been largely funded by cost management, which was driven by gross FTE reduction. €420 million of our cost base is due to compulsory contributions, like banking tax and levies, which increased by €16 million. Let's now have a look at our cost projection going forward on Page 11. Starting from €7.1 billion in 2017, the disposal of EMC has brought our cost base to €6.9 billion in 2018. For 2019, we target costs below €6.8 billion, on our way to reach €6.5 billion in 2020. FTE reduction is the key driver for the cost savings. In 2019 and 2020, we will further reduce FTEs based on efficiency gain, including digitalization, primarily in support functions. We expect the resulting cost benefit by 2020 to be around €200 million. From the introduction and rollout of our new IT delivery model, the Campus 2.0, we expect a further €200 million of efficiency gains. This includes a positive impact from replacing external with internal staff in IT, which will bring know-how in-house in a more cost-effective manner. Reducing the number of external contractors will, of course, lead to a correspondingly higher headcount. Cost-efficient sourcing, the growth in our subsidiary and ramped up resources dedicated to compliance processes also add to headcount. Taking these initiatives together, we are now planning for more than 38,000 FTE for 2020 while maintaining our cost target of €6.5 billion. Moving on to Slide 12 and our risk result. Commerzbank has a clean balance sheet and a very healthy risk profile. The loan books of our core segments are of high quality and benefit from the steady German economy. Trade disputes, Brexit, new car-emission standards, to name but a few, has weighed on German economic sentiments throughout 2018. Despite this and despite weakening of economy in H2, we have not seen any noticeable impact on our loan book. Looking at 2019, our expectation is that the German economy will continue to prove resilient, and we see that the H2 run rate as a good baseline going forward. As always, this assumes no intensification of trade conflict or unforeseeable large growth events. The group's risk result at year-end amounted to minus €446 million, while in line with the guidance of less than minus €500 million. Underlying credit losses were more or less stable throughout 2018, with the Corporate segment benefiting from reversals in the first half of the year. The development of the risk results for PSBC is mainly due to the tremendous work of the consumer finance portfolio onto our own books in H2 2017. The loss experience of this book has been expected. In total, cost of risk was at early 10 basis points, and the NPA ratio of 0.9% is at the European-benchmark low. Let's carry on with the operating segments, and start with Private and Small Business Customers on the next two slides. Our Commerzbank 4.0 growth path is well on track. In 2018, the PSB segment has reached its milestone of 1 million net new customers. We will continue to grow, and our target is to add another 0.5 million net new customers in Germany in 2019. Offering our comprehensive products and advisory services to this expanded customer base, assets under control in Germany have grown €300 billion to €382 billion at the end of 2018. This is slightly below our target of €385 billion. We achieved strong growth in all asset categories up until the end of Q3. In Q4, the unfavorable market performance led to a decline of €17 billion in securities volume year-over-year. In such an environment, customers also have the tendency to hold their funds as deposits. Obviously, this should represent an opportunity once sentiment in the market has improved. Loans in PSBC Germany are up €8 billion, and deposits in total are up €17 billion year-over-year, of which €5 billion have been added in the last quarter. Based on this development, we confirm our 2020 target of more than €400 billion assets under control in Germany and expect more than €390 billion at the end of 2019. Moving on to revenues. We have experienced an encouraging 2018 in PSBC. All subdivisions improving their revenues year-over-year. This has resulted in an increase of underlying revenues of €234 million or 5%. As in the previous quarters of last year, NII continued to improve with Q4 seeing an increase of €17 million. Commission income, though, was affected by the introduction of MiFID II, and Q4 saw additional pressure from unfavorable markets. The mortgage business has continued its growth path in the fourth quarter and ended the year at 70.5 - €75.6 billion and 9% increase in volume. We have managed to keep margins in 2018 at levels comparable to the previous year. The consumer finance book stand - stood at €3.6 billion at the end of the year. While this is lagging behind our expectations, we continue to be optimistic about the future potential of this business. Slide 15 and 16 provide an update on Corporate Clients. In Corporate Clients, we have delivered a solid result in 2018. We have on boarded around 8,900 net new clients since January 2016, 3,500 of whom joined Commerzbank in 2018. Based on our expanded customer base, Mittelstand and international corporates have grown their loan book to €82 billion, maintaining our prudent lending standards. The 5% loan growth in 2018 contributed to revenues, but could not fully offset the headwinds from the market. Subdued demand for capital markets products and the persisting margin pressure have led to focus on lower revenues in the two business lines. In contrast, financial institution managed to increase revenue by €16 million or 3.5%, focusing on our four clients with an optimized correspondent banking network. Looking at Q4 versus Q3, we have increased underlying revenues with the main driver being improved interest income in Mittelstand and international corporates. Q4 proves the resilience of our customer focus towards this business model in volatile and challenging markets. Let me finalize the segments and turn to Slide 17 to have a quick look at ACR. We have continued the value-preserving runoff of ACR in Q4 and reduced the portfolio by €5.1 billion in 2018. In particular, the shipping portfolio was wound down to under €500 million and less than 60 ships financed without a negative impact on P&L. In 2018, ACR has, for the first time, contributed a small profit of €34 million to our result. While the full year result has been positive, Q4 has been affected by some risk provisions in our commercial real estate portfolio and valuation effects. We continue to expect no significant risk from ACR going forward. Let me continue with the RWAs and core Tier 1 capital on the next slide. At year-end, we had RWAs of €180.5 billion on group level. This is €2.1 billion more than at the end of the third quarter and €9.5 billion higher than at the end of 2017. Year-over-year, the main driver was higher credit risk RWA from increasing lending activities in PSBC and CC. Despite increased volatility in Q4, market risk RWA were unchanged, in line with our customer-oriented business model. However, the market's moves in Q4 has affected our pension plan. Lower interest rate increased the discount value of the pension liabilities, and lower markets decreased plan asset valuation. This had a 20 basis points impact on our core Tier 1 ratio. The resulting core Tier 1 ratio is at 12.9%. Although slightly below our original year-end guidance of 13%, it is well above regulatory requirements. On a positive note, based on initial feedback from the ECB, we anticipate that our SREP requirements should be reduced by 25 basis points this year, reflecting, among others, our progress in ACR and compliance. In line with this anticipated reduction and taking into account our clean balance sheet and business model, we are accordingly adjusting our core Tier 1 target to 12.75% for the end of 2019. Looking at Q1, we will see the introduction of IFRS 16, which leads to a reduction of our core Tier 1 ratio by about 15 basis points. On TRIM, we have set of discussions and expect to see an impact in H1. Given these effects, we expect our core Tier 1 ratio to temporarily fall below our target in H1, but this will not constrain our growth. Ladies and gentlemen, let me wrap up the first half of Commerzbank 4.0 and summarize our objectives and expectations for 2019. We have reached our net new customer targets in both our core segments and by continuing to grow assets under control as planned. Despite headwinds from a competitive market, particularly in Corporate Clients, we have grown our loan books based on prudent lending standard. We have increased underlying revenues by 5%, mainly from increased net interest income. Our digitalization program is on track, and we continue to demonstrate our ability to deliver on our cost targets. We marked the successful first half of Commerzbank 4.0 with a net result of €865 million. Commerzbank 4.0 is delivering. Let me finally outline our financial objectives and expectation on pages 19 and 20. We will continue with our growth strategy and expect higher underlying revenues, targeting an average revenue growth of 3% per annum until 2020. In our cash management - in our cost management, we will take a further step towards our target of €6.5 billion in 2020 and plan for costs below €6.8 billion in 2019. Based on our H2 2018 risk result run rate, we do not expect the risk result below €550 million for 2019. We aim to maintain a disciplined level - a dividend at a level comparable to 2018. And as previously mentioned, we have set the year-end target of 12.75% for our core Tier 1 ratio, in line with the anticipated reduction of our SREP requirement. Thank you very much for your attention. I'm now happy to take your questions.
Operator: [Operator Instructions]. And the first question comes from Nicholas Herman from Citigroup.
Nicholas Herman: Three questions, please. Firstly, on costs. You've reiterated the €6.5 billion cost target in 2020. That's despite the fact that you are behind on your - slightly behind on your digitalization targets, and also with higher level of FTEs than you previously indicated. So just if you can talk about how you are still getting to that. And also, the growth that you are implying there, it's actually only about - well under 1% per annum of cost inflation. So if you could talk about that, please. Second question is on revenues. Last quarter, you even said that you were very confident that you would exceed consensus, which was then about €9.2 billion. And now it looks like from your new guidance that you're looking at €9.2 billion of revenues in 2020. So some detail around the new guidance will be helpful. And then finally, just how much lower than 12.75% on the core Tier 1 are we talking? And does that imply a churn impact of about 20 basis points?
Stephan Engels: So this is a long list for me to work on. First of all, across €6.5 billion, you mentioned that we are slightly behind with digitalization ratio, which is right and which is one of the reasons why we extend the campus approach now to basically the full organization here in Frankfurt. One of the lessons learned that we have had is that, doing these projects with a level of external contractors is feasible to a certain extent, but not the most effective way of doing it. So the growth in FTE is basically for operating project cost into FTE, while still maintaining our original 9,600 FTE reduction goal. So that will still come through. What we will basically on board is a completely different set of skills that we believe that we can - and we have proved from our first campus phase for that, that we can use extremely more effectively at lower costs if we on board them. On the growth, and that is also addressing your revenue question around Q3. What I said in Q3 is that I would expect to be consensus, which meant about 90.2, also with a little help from credit spreads and interest rates. So the growth target of 3% does not expect any interest rate change in 2019, which probably is slightly different to what we all expected 3, 4, 5 months ago. And we haven't baked anything in terms of interest rates into the 3% for 2020. Now that does not, obviously, exclude that we finally end up with something above the 3%, but that remains to be seen, given all the sentiment issues that we have around us, which I hope some of them will at least clear out. Core Tier 1...
Nicholas Herman: Can I just follow-up on that quickly? I just - so just I understand, what changed? Is it the lower - because, I mean, I thought your targets didn't include rate - high rates anyway. So what's changed there between Q3 and Q4?
Stephan Engels: No. I think what made - again, what I said in Q3 is that I would be expect to beat consensus with a little help from credit spreads and interest rates. Credit spreads, I'm still a believer. Interest rates, I think, isn't the rest of any hope or fantasy is gone at least for 2019. Let's see what 2020 has to show. And then let's be honest, the reporting season around Q1 definitely has, at least a little bit, shattered the general expectations for Germany and Europe for '19 and '20. So again, I am a strong believer that our model whacks, and that will regrow and that will help, and in that sense, there is probably a little bit of less tailwind than we would have hoped for, yes? Core Tier 1 ratio, I honestly don't have a real number for TRIM. We are at the beginning of the discussions, or I don't call it negotiations, but discussions, we are reviewing results and stuff. My simple take is, if I look at my nonperforming loan ratio of 0.9%, my loss experience of only 10 basis points, I would probably start to discuss whether my models are too conservative. But obviously knowing the regulatory environment, the expectation that we will not have an additional RWA charge from TRIM is also not very prudent or realistic. Now depending on when what things will happen, that then will obviously drive the core Tier 1 development. Keep in mind that Q1 typically books most or all of the compulsory contributions and stuff like that. So capital buildup normally is not as strong as it will probably be in Q2. So that is - it's a bit - it depends a bit on what the variables will look like. Okay?
Operator: And the next question comes from Johannes Thormann from HSBC.
Johannes Thormann: Three questions, if I may. First of all, the jump in digitalization ratio from 59% to 75% in 2019, can you help me a bit more how you can accelerate this? Just as a follow-up question. And secondly, on your risk outlook, could you please explain why you're so cautious and expect an increase? You see much higher H2 level, as we normally see there are seasonal increase anyway and then you just elaborated on your low nonperforming loans. So why are you so cautious in terms of risk outlook? Is LLP and ACR for the commercial real estate portfolio something which raises bigger concerns? Can you elaborate on this? And last but not the least, how realistic? Is it your previous or is it still valid, the 6% return on tangible equity target for 2020, for 2020?
Stephan Engels: On the digitalization ratio, indeed, our original goal for the end of 2018 was 65%. We have ended up at 59%, which means that some of the projects either did not deliver in time or did not deliver the full scope, and some of them probably in the mix of the two. But as I said, we have had extensive lesson-learned sessions, and that is why we are taking Campus on to Campus 2.0. What we basically do there is we basically have more bang for the buck because we have a lot higher efficiency. And as I mentioned, external contractors will convert it into internal ones, and they are more cost-effective. The risk numbers throughout '18 basically have been at the same level, if you call it the underserved risk costs. And what we have seen in H1 is credit write-backs in Corporate Clients, and that's why we say, if you take the fully underserved, stable H2 rate and multiply it by two, then you have a pretty good indication for 2019, which also means that we haven't seen any change in risk experience in 2018 nor do we expect anything in 2019 with the obvious provisions on whatever happens on the world or larger credit events. On the 6% target ratio, I think it's pretty obvious as we had to reduce the revenue goal while keeping the cost goal at the same level. We will probably not achieve the 6% ROTE that we had originally anticipated.
Johannes Thormann: Sorry, if I may, one follow-up. Is it still something you could envisage in 2021, 2022? Or is it currently completely out of mind due to the prevailing low rates?
Stephan Engels: I think, Johannes, discussing '21, '22 and the following years is not the topic of today. Let me put it this way. Nobody in the management team is satisfied with the current ROTE levels, but we - what we need to do now is focus on '19 and '20 so that we harvest the fruits of what we had started for the last two years.
Operator: And the next question comes from Giulia Miotto from Morgan Stanley.
Giulia Miotto: A couple of questions from me as well, please. So the first one, in Corporate, could you please tell us what you're seeing in terms of margins, and hence, competition? And which areas within Corporate have better prospects of growth? Is it Mittelstand? Is it large corporates? And which segments? I will be quite interested in that. And then, well, a couple of technicalities. AT1, I'm just checking, have you changed your mind? Or are you still of the idea that it doesn't make sense to issue at the moment? And tax rate, if you can give us guidance for the coming two years, please.
Stephan Engels: Yes. In Corporate Clients, basically, margin competition has been more or less the same serious levels throughout the year. We have seen certain deterioration of lending standards in some segments, which we have so far been staying away off and stick to our own prudent approach. Nevertheless, you have seen that - that is mainly the Mittelstand segments, the corporate segment, the large corporate segments, where the competition is fierce. It is less so on the smaller SMEs, obviously. So in terms of growth, I would expect to see - and we have seen growth in loan book in 2018. In Mittelstand, core Mittelstand, less so on the large corporate, but core Mittelstand and international corporates should be clear growth areas. And then it depends a little bit on the general sentiment how far - how well we can do or will do with the capital markets-related product and net commission income. AT1, I think so far, and that is probably - that holds probably also true looking forward even with a slightly amended capital spec requirement. We basically still have the option to replace nonexistent AT1 by core Tier 1. Whether this is the most cost-effective, smartest and shareholder-friendly way is something that we assess more or less on a, I wouldn't call, daily basis, but on a monthly or quarterly basis. So as in previous years, we are actively watching the market, and then let's see what happens. But it's pretty clear, the capital spec makes AT1 at least a bit more attractive than it was before.
Giulia Miotto: And tax rate?
Stephan Engels: Sorry, tax rate. The tax rate in - the original expectation was that we will have more DTA burdens in Q4, and that was on the forecast assumption. At the end of the day, what we have seen is that, if you really calculate the DTA spend on basis of the respective local entities, it is a bit lower. Outlook-wise, I would still assume that the 25% assumption is the right thing to take.
Operator: And the next question comes from Riccardo Rovere from Mediobanca.
Riccardo Rovere: A couple of questions, if I may. With the slowing down macro that you have seen throughout Europe and in Germany, do you see the possibility of replicating in 2019 more or less the loan growth that you experienced over the course of '18? This is the first question. And this is valid for both corporate and retail. The second question I have is on your models update, if I may. Would you be able to share with us if your models, your expected loss - lifetime expected credit loss is operating [indiscernible] '18 a slower GDP growth in Germany? Or is it something that you will - the update will come later in 2019? And if that is the case, do you expect a change in your lifetime expected credit loss?
Stephan Engels: Let's start with the first question. I do agree that we probably will not see the same growth in Germany or Europe as we have seen in 2018. So we are still seeing growth. We still have a growth in the U.S. I think we can expect growth in China. So in general terms, I also expect still loan growth in my 2 core segments. I don't see any change, really, in the German private mortgage loan market. And as I said, I continue to be optimistic on the consumer finance part, not to mention the other bits and pieces of PSBC. With Corporate Clients, I would also still see loan growth at the level that we have. The level that we had in 2018 is almost 5%, 9% over the last two years. It depends a little bit on how competition will develop. Normally, if things tend to get a little bit more pessimistic, there are traditionally the non-German banks, which we extract pretty quickly from the market. So that might be a change. On the IFRS question on models, yes, if we reflect the IFRS lifetime expected loss, we would not expect the possible slowing of GDP to have a meaningful impact.
Riccardo Rovere: Sorry, Mr. Engels. You said that you do not expect, did I get it right?
Stephan Engels: I do not expect to have a meaningful impact.
Operator: The next question comes from Tobias Lukesch from Kepler Cheuvreux.
Tobias Lukesch: Three questions also from my side, please. Firstly, could you please elaborate on the key achievements and the key disappointment in Q4 and 2018, respectively, and also on the number one management objective for H1 '19? Secondly, your view on the consumer credits, could you please give an update here? I think in Q3, the book was at €3.6 billion. So far, you have not been on comparison platforms. What is the progress here on that side? And thirdly, I would like to understand the sensitivity of risk provisioning a bit better. Could you maybe provide us with the impact on risk provisions from a 1% GDP growth assumption change and also the impact from a 1% unemployment rate change?
Stephan Engels: Let me start with the last one. Since I don't have all the models in my head, I can only tell you that all we currently expect going forward, and that is probably something close to 1% change in GDP rate, does not have a meaningful impact on the risk result. You asked about what are the key achievements in Q4 and throughout '18. I don't want to really reiterate myself with what I said earlier, but it's basically execution of the strategy, making the bank simpler, get it to grow and also be more digital and efficient. And I think we have proved all these points throughout '18. For some of them, we have some lessons learned, and we'll expect them to be better. But again, the way going forward is we want to execute our strategy. And as I said, it has proven to be the right strategy, but - therefore, we will keep going on. Consumer credit. Consumer credit, yes, sorry, that was another. Consumer credit, that is also something that lags behind our expectation substantially. We have done a broad set of measures there, getting the process even more stable and delivering more constantly. We have, let's say, trained salesforce again. We have learned a bit about pricing and adjustments and other stuff. So again, I'm really optimistic that this will play off. And keep in mind that the CFO normally not - is not the guy who tends to be optimistic around, but I see clear potential.
Tobias Lukesch: But there is no hard number you are giving us. I mean, you were...
Stephan Engels: No.
Tobias Lukesch: Expecting 6% - sorry, €6 billion in consumer loan growth for 2020. I mean, prudently so far, the book is flat.
Stephan Engels: Yes. You're right, but let's see the next two quarters, and then we'll probably need to have a better discussion.
Operator: The next question comes from Britta Schmidt from Autonomous Research.
Britta Schmidt: I've got a couple of questions on capital, please. Firstly, can you give us any indication of what sort of organic capital growth you expect, either on a quarterly or an annual basis going forward? And then secondly, on regulatory impacts, can you just give us a little bit more insight on where the TRIM discussion is? I would have expected most banks to have received the first letters at least to give a firmer indication around a potential number. And maybe you can point us as to whether you think there is an outlier risk where some of the banks that have given indications already. Then my third question on capital is on the ECB, NPL. They're not guidelines, but indications regarding where the stock coverage of NPL should be. Have you looked into any potential impacts from this? Also assuming that your NPL level is probably going to rise over the next couple of years from an extremely low number currently.
Stephan Engels: The contribution of organic growth by ECB, I think the easiest way is, from today's point of view, take 2019 consensus, deduct whatever dividend assumption you have, and then the remainder is clearly capital build. Then there may be further rundown in our noncore segments, legacy portfolios and other stuff. So there will be movement on the RWA. Regulatory impact, we have not finished, and we have not all the audits finished. I think there are still 1 or 2 outstanding. And we have had first or we're having first discussions on what has been found or let's see - let's say, discussed in the first audit. I think it's still too early to really give you a reasonable number, and I will do so once we have narrowed it on to something that we can discuss. Currently, I think it's too many moving bits and pieces. NPLs, there's coverage guideline, if I may call it that way, we don't think whether there's any real impact right now. And also going forward, I think our policy always has been to reserve stuff properly, if you remember our times when we had substantially higher NPL ratios.
Britta Schmidt: Can I just follow up on the second part? I think you did mention that your confidence for the capital ratio to be above the 12.75%, including TRIM. That is including the worst-case TRIM expectation you have? And does it [indiscernible]?
Stephan Engels: Britta, what you are now trying to do is get me into speculation. Again, once we have something on TRIM discussions by the firm and us to act on this, then we can debate what it really is and whether or not there might be any RWA countermeasures on other parts of the balance sheet.
Stephan Engels: Ladies and gentlemen, many thanks for your questions and the discussions with you. I would like to say goodbye. I wish you all a nice Valentine's Day, and I'm looking forward to further discussions with you. Goodbye, and thank you.